Operator: Good morning, and welcome to Kelly Services' Second Quarter Earnings Conference Call. [Operator Instructions]. Today's call is being recorded at the request of Kelly Services. If anyone has any objections, you may disconnect at this time. A second quarter webcast presentation is also available on Kelly's website for this morning's call. I would now turn the meeting over to your host, Mr. Peter Quigley, President and CEO. Please go ahead.
Peter Quigley: Thank you, Art. Hello, everyone, and welcome to Kelly Services' Second Quarter Conference Call. With me today is Olivier Thirot, our Chief Financial Officer, who will walk you through our safe harbor language, which can be found in our presentation materials.
Olivier Thirot: Thank you, Peter, and good morning, everyone. As a reminder, any comments made during this call, including the Q&A, may include forward-looking statements about our expectations for future performance. Actual results could differ materially from those suggested by our comments. We have no obligation to update the statements made on this call. Please refer to our SEC filings for a description of the risk factors that could influence the company's actual future performance. In addition, during the call, certain data will be discussed on a reported and on an adjusted basis. Discussion of items on an adjusted basis are non-GAAP financial measures designed to give insight into certain trends in our operations. References to organic growth in our discussion today exclude the results of our 2022 acquisitions of RocketPower and Pediatric Therapeutic Services or PTS. RocketPower is included in our consolidated results of operations for the full quarter.  And PTS, since the May 2 acquisition date, in Q2, we did pass the April 2021 anniversary of our acquisition of Softworld and the results of Softworld are included in our organic growth metrics beginning in Q2 2022. Finally, the slide deck that we are using on today's call is available on our website. And now back to you, Peter.
Peter Quigley: Thanks, Olivier. As our second quarter came to a close, it marked the second anniversary of Kelly's optimized operating model, a design that has proven to be a powerful enabler of our specialty strategy. We created 5 reporting segments arranged by specialty, each laser focused on growth and each staff with market-leading experts who are identifying and executing new opportunities for high-margin growth.  We've become more aggressive about redeploying capital to fund these specialty investments over the past 2 years. Selling our staffing operations in Brazil, monetizing noncore real estate holdings, unwinding our cross ownership with Persol and reducing our JV ownership in APAC and effectively putting that capital to work within our specialty focused operating model. In SET, we made Kelly's largest-ever acquisition with the purchase of Softworld in the fast-growing technology space. In our education specialty, we acquired Greenwood/Asher to expand into executive search.  We designed and launched new products in K-12 tutoring, para education and higher education and acquired Pediatric Therapeutic Services, PTS to capture rapid growth in this K-12 adjacency. And in OCG, we launched new and enhanced technology solutions in our fast-growing MSP and RPO practices and acquired RocketPower to add scale and breadth to our high-margin RPO business.  It has been an exceptional 2 years of focus and strategic execution, all while facing a global pandemic, historic disruptions in the labor market, supply chain shortages, Russia's war in Ukraine and an extended period of economic uncertainty, and we don't intend to slow down the pace we've set over these past 2 years. Even after our 2 most recent acquisitions, we carry no debt and have more than $400 million in available capital to deploy in pursuit of higher margin specialty growth and other critical investments for the future.  Turning to our second quarter results. We see further confirmation that our intentional pursuit of specialization is paying off as our mix shifts towards higher-margin business. We said we would pursue higher-margin specialties to drive profitable growth, and we executed against that strategy in Q2. Despite economic uncertainty caused by inflationary pressures, interest rate hikes, supply chain disruptions and a more guarded approach to hiring in some industries, demand for Kelly Specialties remains solid. And importantly, we are successfully translating revenue into excellent GP growth.  Our overall organic Q2 GP rate was significantly higher than last year, and it is bolstered by our specialty acquisitions. Our GP rate improved in each of our 5 segments and organic gross margin dollars also improved in each segment, reflecting the continued positive shift in business mix towards higher-margin products and specialties, continuing a positive trend we saw in Q1. In SET, our technology specialty, which includes Softworld, continued to deliver double-digit growth in the second quarter.  Our Education segment delivered strong year-over-year growth and Greenwood/Asher drove a substantial increase in executive search fees. Our OCG segment, which now includes RocketPower, delivered robust growth in RPO and continued to deliver impressive growth in our MSP practice. In P&I, notwithstanding decline in revenue, primarily due to the change in delivery by a large customer that we discussed on our last 2 calls, P&I continued its gross profit growth trajectory. And in International, EMEA delivered revenue growth and higher permanent placement fees.  One final note regarding our International segment. We shared last quarter that we were considering options for Kelly's Russian operations. In July, we completed a transaction to transfer our Russian business to a Russian company. As a result, Kelly is no longer operating in Russia. Olivier will provide additional details regarding the impact of our exit. I'll now turn it over to him for a closer look at the details of Kelly's Q2 results.
Olivier Thirot: Thank you, Peter. For the second quarter of 2022, revenue totaled $1.3 billion, up 0.7% from the prior year, including 200 basis points of unfavorable currency impact. So revenues for the quarter were up 2.7% in constant currency. Included in that increase are 150 basis point favorable impact from our acquisitions of RocketPower and PTS as well as 250 basis points unfavorable impact resulting from market changes in Mexico from the Q3 2021 staffing market through legislation and revenue declines in Russia.  As we look at second quarter revenue by segment, revenue in our Professional and Industrial segment declined 11% year-over-year in the quarter. The segment's outcome-based business continues to be impacted by a contraction in year-over-year demand from our call center specialty. Outcome-based revenue was down 2.7% as growth in our outcome-based -- other outcome-based specialties partially offset the decline in call center volume. Revenue from our staffing products declined 14% on lower hours volume, which has been partially offset by higher bill rates resulting from the upward pressure on wages in the current talent market.  About 60% of the staffing revenue decline comes from the shift of a large staffing account to a direct hire model, which Peter mentioned and which we discussed as part of our outlook in our May call. And finally, Perm fees in P&I were up 45% as our customers' demand for direct hire services has continued. Moving to the segment. Revenue was up 9%. We have continued to see a strong recovery in demand in telecommunications.  Demand for outcome-based solutions remain solid and our technology specialty, which includes Softworld continued with double-digit growth. SET permanent placement fees growth also continued, up 40% year-over-year. In our Education segment, year-over-year growth continues to be strong, up 47% on a reported basis. The reported results include the May acquisition of PTS. So revenue growth was 40% on an organic basis year-over-year.  Revenue growth trends in our Education business reflect the comparable 2021 period that was still impacted by COVID-related disruptions as well as robust demand and new customer wins in 2022. Steps taken earlier in the year to broaden the supply of talent have continued to pay off, and we are seeing meaningful improvement in our fill rate. Permanent placement fees, primary higher education executive search with Greenwood/Asher were up 70% year-over-year.  Our OCG segment continued to deliver year-over-year revenue growth, with revenues up 16% on a reported basis. The results of RocketPower are included in the OCG results beginning in Q2. Organic constant currency growth was 7% in the quarter. In addition to RocketPower, OCG delivered very strong organic growth in RPO, reflecting customer demand for this product as well as double-digit growth in our MSP product, partially offset by declines in PPO as a result of some customer exits in early 2022.  Revenue in our International segment declined 12% on a nominal currency basis and was down 4% on a constant currency basis. The year-over-year revenue growth trend was negatively impacted by results in Mexico due to the impact of the legislation enacted in Q3 of 2021. Revenue growth in the EMEA region was positive, up 4% in constant currency. As Peter noted, we have completed a transaction in July that resulted in the sale of our operations in Russia in early Q3.  Constant currency revenue growth in EMEA, excluding Russia was up 9% year-over-year for the quarter. And finally, permanent placement fees in the International segment grew by 13% year-over-year in constant currency. Overall gross profit was up 13.6% on a reported basis of 15.6% in constant currency. Excluding RocketPower and PTS, GP increased 12.5% on an organic constant currency basis.  Our strong gross profit growth was a result of an improving gross profit rate, 20.7% for the quarter compared to 18.4% in the second quarter of last year, a 230 basis point improvement. Our acquisition strategy continues to contribute to our improving GP rate. The acquisitions of RocketPower and PTS added solid basis points in total. In addition, our GP rate has improved 200 basis points organically.  Favorable business mix continues to drive GP rate improvement by 80 basis points and was combined with the impact of 50 basis points coming from higher perm fees as well as 70 basis points resulting from lower employee-related costs. And when we look across the business units, gross profit rate improved in each segment and organic constant currency gross margin in dollars improved in each segment as well, reflecting the continued shift in business mix towards higher-margin products and specialties.  SG&A expenses were up 10.6% year-over-year on a reported basis and 12.3% on a constant currency basis. Expenses for the second quarter of 2022 include the intangible amortization and other operating expenses of RocketPower and PTS, which added 240 basis points to our year-over-year expense growth rate. So on an organic constant currency basis, expenses grew 9.9% year-over-year. Consistent with Q1, the majority of the increase in SG&A reflects higher compensation-related expenses for our full-time talent.  We have continued to add headcount in line with revenue growth and provided commensurate performance-based incentive compensation for our client-facing teams as well as smaller adjustments to base pay. These increases reflect the impact of inflationary pressure and the need to attract and retain talent in the current environment. Even with the increase in the cost of doing business, we produced additional operating leverage as GP growth exceeded expense growth for the quarter, continuing a trend from higher periods.  Also reflected in our earnings from operations in Q2, our gain on sale of assets of $4.4 million and $18.5 million impairment charge related to our Russian operations, which were held for sale at the end of the quarter. The gain on sale of assets relates to underutilized real property and is part of our continued efforts to monetize noncore assets to be deployed towards growth.  The impairment charge related to Russia follows our decision to transition our Russian operations. The charge reflects the difference between the carrying value of our Russian subsidiaries and the fair value of such assets. In July, we completed the transaction to transfer our Russian business to a firm in Russia and are no longer operating there.  Our reported earnings from operations for the second quarter were $8.2 million. Excluding the gain on asset sales and the impairment charge, adjusted earnings from operations were $22.3 million compared to the $13.7 million earned in Q2 of 2021, up more than 60% and reflecting an incremental conversion rate of 27%, consistent with Q1 of 2022.  Included in our Q2 results are the operating earnings of RocketPower and PTS of $2 million, inclusive of intangible asset amortization. And just a reminder that we monetize our investment in Persol Holdings and most of the Persol APAC transaction in the first quarter of 2022. So there will be no further P&L impact from those investments, although the comparable period year periods -- prior periods will include gains and losses related to those investments until we anniversary these transactions.  Income tax expense for the second quarter was $4.9 million compared with our 2021 income tax benefit of $2.6 million. Our effective tax rate for the quarter was 68.8%. Adjusted for the Russia impairment charge and a gain on sale of assets, our effective tax rate was 17.9%. And finally, reported earnings per share for the second quarter of 2022 was $0.06 per share compared to earnings of $0.60 per share in 2021.  The decrease in earnings per share resulted primarily from the impact of the impairment charge related to our assets in Russia and the 2021 gain on Persol shares, all net of tax, adjusting for those transactions as well as the gain on sale of assets, Q2 2022 EPS was $0.45 compared to adjusted EPS of $0.49 per share in Q2 2021, although adjusted pretax income is higher in 2022, adjusted EPS declined on higher 2022 tax expense compared to the same period of 2021.  Our 2021 tax benefit was due primarily to the benefit of a tax charge -- a tax rate change in the U.K. Now moving to the balance sheet. As of the end of the second quarter. Our balance sheet reflects 5 significant transactions so far this year that demonstrate our commitment to monetizing noncore assets and relocating capital to advance our specialty strategy. First, in February, we completed the sale of most of our investment in the Persol Kelly APAC joint venture, the sale of our investment in the common shares of Persol Holdings and the repurchase of Class A and B common shares to conclude the cross-shareholding arrangement with Persol.  And then we acquired RocketPower in March and PTS in May. At the end of Q2, cash totaled $134 million compared to $64 million a year ago. We had no debt consistent with debt at nearly 0 at the end of the second quarter of 2021. With our $300 million available capacity on our credit facilities, we continue to have ample capital available to deploy.  At the end of Q2, accounts receivable was $1.5 billion and increased 10% year-over-year, reflecting our year-over-year increase in revenue as well as an increase in DSO. Global DSO was 63 days, an increase of 3 days over year-end 2021 and the second quarter of 2021. Global DSO increased primarily as a result of an increase in the mix of MSP and other customers with extended payment terms and to a lesser extent, to the timing of customer payments.  Accounts payable and accrued liabilities also increased as a result of an increase in MSP supplier payables, partially mitigating the impact of higher DSO on free cash flows. Through the second quarter of 2022, we used $111 million of free cash flow, reflecting increasing investment in working capital. Free cash flow in 2022 also includes the use of approximately $50 million to pay income taxes resulting from the sale of Persol Holdings common stock as well as the use of approximately $29 million to repay federal payroll tax balances, which were deferred in 2020 under the CARES Act. And now back to you, Peter.
Peter Quigley: Thanks for those details, Olivier. We're encouraged by ongoing growth in demand and new customer wins across our segments. We expect each of our specialty business units to deliver strategic contributions to this year's performance. Our P&I segment, notwithstanding the top line challenges we explained showed good SG&A discipline and delivered growth in BPO, which contributed to overall GP improvement in the segment.  In late Q2, we deployed technology upgrades we've discussed on prior calls and as with most enterprise technology deployments, we anticipate a near-term dip in productivity followed by improvements later this year and into the future. In our SET segment, we said we wanted to see meaningful returns on our inorganic and organic investments.  Our second quarter met that expectation, including nice growth in our telecommunications specialty, and we expect meaningful contributions from SET for the remainder of 2022 and beyond. In education, we committed to capture K-12 growth this year, improve our fill rates and further expand our adjacencies. We saw improved fill rates across K-12 districts during the second quarter. We won significant new business that will go live in the second half of the year, and our acquisition of PTS creates yet another high-margin, high-demand specialty within the Education segment.  In OCG, we said we would invest in our fast-growing RPO business, and our first quarter acquisition of RocketPower began yielding revenue and GP growth in Q2. Our legacy RPO business also delivered healthy organic growth in the second quarter and some of the sizable MSP wins from 2021 have begun to produce GP in 2022.  And in our International segment, we said we expected continued growth in regional and local specialties and though it couldn't completely offset the negative impact of Mexico's legislative changes, our EMEA operations continue to deliver top line growth in the second quarter. These growth strategies in our 5 business segments, together with our aggressive focus and disciplined use of capital are designed to drive value for Kelly stakeholders in 2022 and beyond. To share more about what we expect from the year ahead, I'll welcome back Olivier.
Olivier Thirot: Thank you, Peter. As we reflect on the second quarter results and look ahead. We expect that even with growing economic uncertainty, there will be a steady demand for our services while we deal with continuing challenges in finding talent to meet that demand. We expect that inflation and the upward pressure on wages at all skill levels will continue, although they are signs of a more gradual pace of wage growth in the second half of the year. And increasing interest rates may put pressure on certain industries as consumers and businesses react to higher rates.  Specific to Kelly, there are 2 unusual events that impact our full year outlook. First is the early Q3 transaction to sell our Russian operations. This will reduce 2022 revenues in our International segment and overall for Kelly by approximately 200 basis points. Second is a change in one of our large customers' labor strategy that we mentioned today and on earlier calls. A large staffing customer decided to address today's talent challenges and work with Kelly differently by changing its heavy use of contingent labor to one that instead will rely on hiring talent directly as full-time employees. Even with a number of large on-site transitions from competition expected in the second half of this year, there will not be enough to fully offset the top line impact of this change in this one customers' business. In addition to the strengthening of the U.S. dollar against several currencies, including the euro, means that we now expect a more significant negative impact from FX on our reported revenue growth rate. So with those headwinds, we expect revenue to be up 3.5% to 4% on a full year basis in nominal currency. Included in that outlook is about 150 basis points of inorganic revenue growth from RocketPower and PTS and unfavorable 250 basis point impact from the sale of our Russian business and the legislative changes in Mexico as well as a 150 basis points of unfavorable currency impact.  So on a constant currency basis, we are moderating our revenue growth outlook for the full year by 100 to 150 basis points based on current conditions. Our outlook assumes no material change in COVID-19-related impact or significant deterioration in macroeconomic conditions. While we are not providing quarterly guidance, we expect Q3 organic revenue growth rate may be slightly lower than our full year expectation, driven by the factors we have mentioned with improving revenue growth rate in the fourth quarter. We expect that our fourth quarter growth rate will benefit from a full quarter of revenue growth from our Education segment, as schools will be in session for the entire quarter as well as the traditional seasonal peak in P&I.  We expect our GP rate to be around 20.7%. A 200 basis point improvement from the 18.7% we reported for 2021 on a full year basis and includes 20 basis points from our recent 2022 acquisitions. This is a 70 basis point of improvement of our GP rate outlook based on our continued structural improvement in GP rate. These expectations reflect sustained growth in our fee-based business, a continued shift in mix to higher margin specialties and a more gradual pace of growth in our lower-margin specialties.  Given our revenue and GP rate outlook, we expect that our GP dollar growth for the full year will be 15%. We continue to expect increasing SG&A expenses up 8% to 9% on an adjusted organic basis, reflecting growing inflationary pressure in the current environment as well as increases in performance-based incentive compensation expenses. To address the need to attract and retain talent, we are focused on virility of initiatives. Part of the equation is ensuring that we remain competitive on compensation for our full-time talent. In addition, we continue to focus on technology initiatives that enhance the of talent we place on assignment. We remain committed to improving productivity across all of our business units and ensuring that the investment in our talent produce the workforce necessary for future growth.  We also expect that our 2 recent acquisitions, RocketPower and PTS will add approximately 200 basis points of SG&A expense growth, including the impact of intangible amortization expense. As we execute our organic and inorganic strategies, we are utilizing adjusted EBITDA and adjusted EBITDA margin as additional measures of our progress in delivering profitable growth.  Based on our outlook for 2022, we expect adjusted EBITDA margin to improve between 2.4% to 2.6%, a 70 to 90 basis point from the 1.7% adjusted EBITDA margin delivered in 2021. And finally, we expect an adjusted effective income tax rate in the low to mid-20s range, which includes the impact of the work opportunity tax credit, which was -- which has been extended through 2025. Our higher expected effective tax rate reflects that the impairment charge related to our Russian assets is largely nondeductible. Now back to you, Peter.
Peter Quigley: Thanks, Olivier. The first half of 2022 followed a continuing pattern of talent shortages, coupled with strong demand for our services and solutions. We signaled that this would a year of bold progress for Kelly, and we remain undeterred by the now familiar short-term headwinds and economic uncertainty. We are a more nimble, proactive company that is willing and able to adapt quickly to market changes guided by a seasoned leadership team wholly committed to Kelly's success. We're confident in our well-defined and well-capitalized specialization strategy, which continues to improve our business mix, GP and net margin, and we continue to benefit from our optimized operating model, which focuses our attention firmly on growth.  Our actions have created unprecedented capital to deploy to support that growth and the effectiveness with which we are putting our capital to work signals Kelly that will take decisive action to drive shareholder value. We have chosen our specialties wisely. We are pursuing high-margin growth where we know we can win, and we are delivering on that growth from acquisitions and organic investments alike, driving significant improvement in GP while investing in the talent and technology needed to bring Kelly's specialty strategy to life.  As we continue to execute our strategy in the second half of the year, Kelly is creating value for all of our stakeholders, talent, clients, suppliers and shareholders. Art, you can now open the call to questions.
Operator: [Operator Instructions]. And for our first question, we'll go to Kartik Mehta with Northcoast Research.
Kartik Mehta: Peter, just a question on wage inflation. I know Olivier had talked about maybe the second half you're anticipating a little bit less wage inflation. I'm wondering if you've seen any changes in wage inflation today compared to maybe what it was in the first quarter, even maybe in June or July.
Peter Quigley: Yes. Kartik, I'll let Olivier provide some support. But we're seeing, I would say, a tempering of wage inflation. It's still considerably higher than normal, but it has moderated somewhat from the beginning of the year.
Olivier Thirot: Yes, when you look at P&I education, I said, clearly, when you look at our average wage inflation, Q1 moving to Q2. In P&I, we see a deceleration from 12% to 8%. So some start of moving a little bit lower, but I would say 8% is still quite elevated. For education, we start -- we don't see any change. I mean it is still around 13% to 14%. So no real change and for SET or our STEM business still staying around 8% to 9%. So where we see a little bit of a change is really in P&I. And again, it's a change, but it's more like slowing down than any radical change in trend.
Kartik Mehta: And then just looking at your permanent placement business, in the past, when there's been an economic slowdown, how quickly has that business started to deteriorate? Or how quickly have companies' kind of pulled the desire to hire employees? Just trying to get a sense of how good of an indicator you think that might be.
Peter Quigley: Yes. Companies usually will begin to pull back on permanent hiring when they have a lack of confidence in the future, notwithstanding the sort of unique situation of the inflationary pressures that we see in rising interest rates. We still can see strong permanent placements in -- across our businesses. So we haven't begun to see the falloff in that area of our business that would indicate a lack of business confidence.
Olivier Thirot: Yes. And of course, in Q2, when you look at versus last year, our fee business is up 38%. We're up 68% or almost 69% in Q1. But you need to think about the fact that it's basically also on higher last year comps, right? When you look at the absolute dollar of fees, I would say it's still moving up a little bit, but flattening, but still very, very elevated, meaning not really declining at all.
Operator: And next, we have the line of Mitra Ramgopal with Sidoti.
Lalishwar Ramgopal: Yes. I was just curious in terms of the challenges you're seeing on talent supply, if you're having success with the initiatives you introduced earlier this year and your outlook based on the current environment over the remainder of the year and into next?
Peter Quigley: Well, I think the example would be education, where we took steps early in the year to increase our fill rates. And as I indicated, we're seeing improvement in K-12 districts in Q2, and we expect to continue to see fill rate improvements through the remainder of the year as schools reopen. So those efforts are well underway and proving to be successful. I think in our other businesses, we continue to face unprecedented talent shortages that we are deploying a number of methods to try to combat, including working with our customers to ensure good wages and good working conditions. But that's going to be an ongoing process as long as we have this historic low participation rate and a low unemployment rate.
Lalishwar Ramgopal: Okay. And then given the rising interest rate environment, how much of a fact is that in terms of as you look at inorganic opportunities? And are you seeing change in valuations that are becoming more attractive given the increased cost of capital for some?
Peter Quigley: Yes. We think there's going to be a likely downward pressure on valuations and multiples. I can't say that we've seen it yet, but it's likely to have a -- somewhat of a lag. But based on our conversations with bankers and other investment professionals, they're signaling that there is less of an appetite to leverage in this period of higher interest rates.
Olivier Thirot: Yes. Just probably on our side, first of all, you know that we still have a positive cash position despite of the multiple acquisitions we are discussing, including today. We have our full capacity to leverage available. And you know that part of our line of credit is basically what we call something that is linked to our assets, our receivables, our securitization. So basically, although we see some interest rate increase impacting us, I would say the fact that we have this securitization program is helping us to basically get still interest costs that are I would say, completely acceptable for us to continue to move forward on our acquisition strategy.
Lalishwar Ramgopal: Okay. And then finally, as it relates to investments, whether it's in personnel and technology, if you can give us a sense as to how comfortable you are with very -- on that front? Or how much more you think you really need to do over the next -- remainder of this year and also into next?
Peter Quigley: Well, it is a period of wage inflation, not only for our customers but for our industry, and we need to remain competitive. We need to attract and retain the critical talent. We need to deliver our services and solutions. So we're keeping a close eye on ensuring that we have the investment dollars that we need to achieve that objective. I think technology -- we've increased our technology investments, but we need to continue to look for ways to improve the efficiency of our operations as well as bring additional and new value to our customers with the solutions we're providing.
Operator: Next, we have Joe Gomes with NOBLE Capital.
Joseph Gomes: So just was looking through the release, and when you start looking at revenues by country, obviously, Mexico is down. We know the reasons for that. And over in Europe, although EMEA itself ex-Russia was up, France was down about 12.4%. Just wondering what might be going on in France, is that kind of temporary or is there something else going there to drive that?
Olivier Thirot: Yes. I mean the first thing I would mention is that when you are referring on a negative 12.4%, Joe, it's basically in nominal currency and knowing the current FX and basically the weakness of the euro is probably better to look at it in constant currency. So in constant currency, we are, I would say, flat. So what we see in the French market is the piece or the large part of the French market that now is growing is basically areas where we are not in with Kelly France, namely manufacturing, automotive that are really -- basically growing again after basically a big decline. We are more in specialty areas like Life Science and Others where we see a recovery from the, I would say, economic downturn of 2020, but at a lower pace than you might have seen or you see now in manufacturing, automotive and so on.
Joseph Gomes: Okay. And then, we all know you guys have discussed it, the challenges on the talent side, both getting talent for your customers and retaining your own talent but if we put those aside for a second, what else are the kind of challenges that you're facing today? And how are you resolving those?
Peter Quigley: Well, I think on the demand side, Joe, I -- our thesis is that with the rising inflation and the interest rate increases, a lot of companies are digesting that as well as the likelihood of future interest rate hikes. And they're doing so for the first time in a long time. In fact, some of the purchasing managers that we deal with have never experienced an inflationary period. So I think they're taking stock of it without reducing significantly the fact that they need talent. And there is still -- as we've discussed, as you mentioned, there's still not enough people in the labor force to satisfy the demand as reflected by -- even though the number of job openings has come down, it's still at historic highs and unemployment is also ticking down. So it's a unique environment, but we continue to work with our customers to satisfy their current solid demand for talent across our segments.
Joseph Gomes: Okay. And then just switching gears for a second, over on education, you guys talked about some previous wins this year. Just kind of looking at maybe give us a little color on what that kind of the market there looks like today in terms of customer putting out requests and proposals and how you see that maybe playing out for the rest of the year?
Peter Quigley: Yes. We're -- we've been in the education business. We're celebrating our 25th year this year. We don't know of a year in which there has been stronger demand for our services. The school districts across the country are struggling with finding instructors, retaining instructors, educators, and so we're seeing unusually strong activity in the education space, not only with the wins that we have already accomplished in 2022. But also the number of RFPs and other activity in school districts is unusually strong, and we expect that even this year, we will see the benefit, of course, from the wins, but also from the ongoing RFP activity as school districts struggle to meet the demands for educators.
Operator: [Operator Instructions]. And we have Keith Steinke with Barrington Research -- I'm sorry, Kevin.
Kevin Steinke: I just -- so I wanted to -- just first off, on the guidance to make sure I understood correctly, going from the 6% to 7% revenue growth to the 3.5% to 4%. That's -- you're building in a 150 basis point headwind from currency that was not there before and then the 100 to 150 moderation in organic growth. Those are the 2 components of that change?
Olivier Thirot: Yes. I mean certainly, I mean, usually, we don't mention any assumption on FX. But what we have seen, especially Q2 given with a 200 basis point unfavorable impact, we were thinking that something we need to mention because, of course, it is a headwind versus our nominal GAAP revenue growth, and we anticipate this kind of situation to continue in the near future. And that's why we mentioned this 150 basis points. Acquisition, plus 150 basis points, very consistent with what we have said 3 months ago. Of course, we have 250 basis points coming from Russia and Mexico. And you will see, especially in Q3, basically the full impact of Russia as well as in Q4.  Mexico, basically, as we are going to anniversary the change in basically the labor legislation, we are going to see in Q3, but to a more viable extent, less of an impact end of Q3 and full Q4. But of course, we are going to continue to see something we have started to see, of course, at the final end of Q2, I mean the impact of Russia.
Kevin Steinke: Okay. Yes, that's helpful. Yes, I was going to ask about the cadence third quarter versus fourth quarter that you had mentioned in the prepared comments. And so that's helpful. But also, you mentioned expected near-term dip in productivity in P&I due to the recent completion of the technology rollout. I mean is that something we should think about as being material or that you -- that we should factor in, say, in the third quarter? Or just how are you thinking about that?
Peter Quigley: Well, as Olivier mentioned in his prepared remarks, on the Q3 maybe slightly lower than our full year guidance. But probably the biggest factor there is that Q4 has a full quarter of education versus Q3, which does not because schools don't open -- they open throughout Q3. But in Q4, we have the full benefit. So while there may be some impact in Q3 as well on the full year basis, I think the guidance that Olivier provides takes that into account the technology issue.
Olivier Thirot: And I think you might have noticed that we have upgraded our GP rate by 70 basis points. We feel good about that. You have seen the progress. Q1, it was up 230 basis points Q2, 220. So -- sorry, 220 in Q1, 230 in Q2 with very similar dynamics, right? And one interesting one is our mix and the fact that the mix and the improvement of our specialty mix did improve the GP rate by 80 basis points. The other point I would like to mention is our progress in net margin, EBITDA margin. We continue and we have confirmed that our GP net margin percentage is going to move by 70 to 90 basis points. A large majority of that being organic. So -- and we are on track.  When you look at Q1, we're at 2.4; Q2, 2.5, which is a significant improvement, about 100 basis points in Q1, 70 basis points in Q2. And this is something that we believe and we are pleased to see that it's on track, and I think we are going to continue to make progress also on the net margin as we have seen now for the first half of the year.
Kevin Steinke: Yes, absolutely. The margin guidance and progress on margin has certainly been impressive here. So it's great to see that. I just wanted to touch on, Peter, you mentioned a more guarded approach to hiring in some industries. Are there any industries in particular that you'd call out? Or what does it look like from a geographic perspective as well, or some geographies a little more guarded than others? Or so maybe you can kind of comment on industry and geographic mix there would be helpful.
Peter Quigley: Yes, I think it's less geographic than it is industry. So not the demand for professionals that provide technology services, so not your cybersecurity experts and code developers and network systems architects, but the technology sector as a consumer has been impacted as has widely been shared in the press with certain companies, particularly in California either reducing hiring or even some spotty layoffs. So that industry has been impacted, but it's -- probably also reveals itself in -- as companies anticipate supply chain disruption.  They're potentially trying to factor that into their production plans for the future. But it's still a moderating of their plans, not a decline or a lack of demand for talent. People are still looking for workers in all of our segments and in most cases, when they find somebody, they will hire them as indicated by our continuing strength in permanent placement fees.
Kevin Steinke: Okay. That's helpful. And I just thought that actually, you -- on the first quarter call, you increased your organic growth expectations by 200 basis points. And now you've taken it down by 100 to 150 basis points. So you're actually still ahead of where you were at the beginning of the year in terms of your organic growth expectations, I guess. Is that the right way to think about it?
Olivier Thirot: That's completely correct. I would say one point to mention back to P&I. We have good traction in terms of pipeline in staffing. But with this transition of this customer that we have mentioned for the last couple of quarters, we have the pipeline to really offset these customers, but the time to revenue is a little bit -- taking more time than what we are expecting. So it's more, I would say, a timing issue rather than, I would say, not the capability of offsetting this big customer.
Kevin Steinke: Okay. Understood. And then lastly, maybe just talk about next steps for achieving revenue synergies from RocketPower and PTS and maybe any investments associated with that, just plans as we think about the rest of the year?
Peter Quigley: Yes, we see a lot of synergies in both cases. In the case of RocketPower. We had no customer overlap. And we had a complementary geographic presence. So we're pleased, although the RocketPower has joined Kelly only few months ago. We're very pleased with the progress we've made on joint go-to-market strategies and efforts and the introduction of their competency to our existing customers where we may not have had that same capability.  In the case of PTS, it's still a bit early. But we see PTS, there's really strong demand for their services in the geographies they support. And we're in a lot of other geographies where we currently don't provide therapeutic services like PTS does. So while nothing to report today, we think there's considerable upside in that extremely high-margin adjacency to our traditional K-12 business where we're the market leader in the U.S.
Operator: And speakers, there are no further questions at this time. Please go ahead with any closing remarks.
Peter Quigley: Art, I think we're good, and you can close the call.
Operator: Thank you. Ladies and gentlemen, that does conclude your conference for today. Thank you for your participation, and thank you for using AT&T Event teleconference. You may now disconnect.